Ana Sandersen: So I guess we'll start things off. I'd like to firstly thank you for joining us today for the Agilyx business update presentation. I would like to remind everyone that the meeting will be recorded and that the replay and the slide deck that we're going to be using will be available on our website under the Reports and Presentations section. We will also have a Q&A session at the end, but I ask that you keep your mics on mute during the presentation itself. With that, I will start the recording and introduce one of our presenters today, Agilyx CEO, Ranjeet Bhatia.
Ranjeet Gill Bhatia: Thank you, Ana, and welcome, everyone, to the Agilyx ASA First Half 2025 update. We -- I just switched to the presenters page here. So we -- sorry. Okay. So firstly, joining me -- I'm Ranjeet Bhatia, Agilyx's Chief Executive. And joining me today are Bertrand Laroche, Chief Financial Officer of Agilyx and Laurent Auguste, Chief Executive of Green Dot Global which is a company which we have recently committed to make a strategic investment and which is a truly transformative development for Agilyx and we hope also for Green Dot. We are pleased to have Laurent joining us today. He'll speak to the very dynamic business he's building at Green Dot and will also be available for Q&A at the end of the presentation. In the first half of 2025, Agilyx continued its transformation from a technology licensing business to a global investment platform, supporting the development of plastic waste feedstock supply for the recycling industry. The company's strategy is to build long-term equity positions in businesses with complementary geographies, technologies and customer bases while also working in partnership with established operators to scale production and supply of high-quality recycled plastic feedstock. So on the slide here, we're showing our current corporate organization, which comprises Agilyx ASA as the holding company, U.S.- based Cyclyx is a 50% owned joint venture with ExxonMobil at LyondellBasell and is building a platform for the creation of waste plastic feedstock for advanced and mechanical recycling. Styrenyx is our original business, where we were first founded. It's 100% owned by Agilyx and holds our IP-rich portfolio developed really to support the recycling of plastic waste into high-value virgin- quality materials. And then lastly, on the right is and just joining the portfolio is Europe-based Green Dot. It's a leading recycling brand with unique access to volumes -- high volumes of waste plastic sorting and recycling capabilities in Germany, Austria and Italy, and will be a big focus of our discussion today. In May 25, Roland Berger estimated just recently that global advanced recycling capacity will reach 10 million metric tonnes by the year 2030. Europe is growing the most quickly at a 55% compounded annual growth rate. And at Agilyx, we felt it's really imperative for us to move to take a leadership position in the EU market and participate in this really dynamic growth opportunity. So Cyclyx is developing to be the leading platform for recycled plastic feedstock sourcing in the U.S. and Green Dot is the clear leader in Europe with over EUR 380 million of revenue in 2025 and generating a healthy operating profit. Together, Agilyx's investment in these 2 platforms is really motivated by the recognition that global petrochem companies and brands both need trusted counterparties to deliver high-quality, reliable and on-spec volumes of plastic feedstock for recycling. So we're focused on participating in assets that can secure high volumes of waste plastic that are supported and entering into long-term offtake agreements with -- for feedstock supply or off-take contracts for feedstock supply and where we can leverage our proprietary tech capabilities built over 20 years of R&D at Agilyx itself. So we're very pleased to have achieved these objectives while identifying an investment opportunity in Green Dot, which on a stand- alone basis, present 30% IRR opportunity. So without absent the synergies for the group and for the business, on its own, it's a great financial investment. So just switching over to Green Dot. So Green Dot has been in business for 35 years. It was the first company in Europe to develop the extended producer responsibility business model, which Laurent will speak more deeply about in more detail. Originally a German state-owned enterprise, it was spun out in 2005 and privatized. And as part of that privatization, the Green Dot name and logo were made available on a licensing basis to other companies and entities that were pursuing a similar business model. So today, that logo and name are licensed by Green Dot Global to 29 countries, including in Norway, where it's known as Grønt Punkt Norge. So certainly, some of you will be familiar with that organization here in Oslo. The company has significant scale in 2025 -- its 2025 1st half revenues were EUR 220 million and operating profit of circa $7 million. The company has circa 100,000 customers in the German market. It processes over 1 million tonnes per year of packaging waste and including in that waste 300,000 tonnes of waste plastic in Germany alone. So very mature, very exciting business, great platform. I'd like to, at this point, turn it over to Laurent, who as I mentioned, CEO of Green Dot. And Laurent, if you could provide a brief background on yourself, I think that would be a particular interest to people and then also your view on Green Dot's operations.
Laurent Auguste: Thanks, Ranjeet, and good afternoon. Very pleased to be with you. So yes, my name is Laurent Auguste. I spent most of my business time with Veolia, 25 years. My last position was Chief Growth Strategy and Innovation Officer. I had the opportunity to start and develop a number of businesses, namely in the late '90s in South Korea. Then in early 2000s in Japan. I've been also CEO of the North American business, a $2 billion business at that time before coming back to the headquarter in 2013. And this is really when I started to get into circular economy and plastic recycling leading Veolia actually to consolidate part of the market and to have today a leading position in terms of capacity for mechanical recycling. I've founded Green Dot in 2022 with the understanding of the business opportunity around plastic recycling and also the need to have a different player in the sector from feedstock to recycling. Maybe a few words on Green Dot Ranjeet on the next slide. Yes. So today, the portfolio is really made of 2 businesses. On the one side, the established business in Germany and the Der Grüne Punkt. As Ranjeet mentioned, this business started 35 years ago with this extended producer responsibility business, EPR, where we collect fund from brand owners to finance collection, sorting and recycling. But we've got also our own mechanical recycling plant in Germany. We are the third largest player in the market in Germany and actually the first independent player. But we've got also a growing part of the business. That's based on the sorting activities that we've got today, both in Italy and in Austria. And where we have started already to supply feedstock for advanced recycling. And we dare say that we are the pioneer and the leader in the sector. Thanks to investment already made and already capacity that we have in the sector to service some of the first players. And hopefully, by the end of the year, we will be supplying feedstock to the first commercial size plant in Europe. You see some of our clients and partners, some of the major brands, but also petrochemical companies. On that specific business of feedstock for chemical recycling, if we look at the next slide, you will see that out of more than 40 projects that have been announced in Europe, we are in contact or discussion with about half of them. With the perspective based on the pace of development of this project to add more than $20 million EBITDA to activity by 2030. Next slide shows that we are actually looking at growth potential in all segments of the business. First, when it comes to access to feedstock both through the EPR business, but also through partnerships with waste management company, we definitely see opportunity to grow from today where we have access to more than 300,000 tonnes of plastic waste a year to more than 500,000 tonnes by 2030. We see definitely growth in the advanced recycling part of the business to supply feedstock to the coming project, as I was mentioning earlier. But we see also growth in the mechanical recycling part of the business. We're about to add a new business line to our portfolio to enable to have packaging to packaging, very high-quality recycling also in the sector. When it comes to the financial profile of the company, today, we have mostly short-term contracts, but we start to have long-term multiyear contracts, namely for supply of feedstock for advanced recycling. And we're moving towards long-term offtake agreement can be more than 10 years with take-or-pay type clauses so closer to something that would be more usual in the infrastructure business. By 2030, we see the revenue being -- growing by 50% and EBITDA being multiplied by close to 4x. Bertrand, I think do you want to share elements about the financials.
Bertrand Laroche: Sure. Thank you, Laurent. Good afternoon, everyone. Turning now to Slide 10. We can look at Green Dot's financial profile today and its outlook to 2030. So in 2025, we know Germany is projected to deliver over $380 million of revenues and $8.6 million in EBITDA, a strong rebound from last year's macro-driven weakness. Germany is a stable cash-generative EPR and recycling platform, which we expect to normalize around EUR 30 million of annual EBITDA by 2027 and grew steadily by 3% or 4% after that. Green Dot Italy plans to execute an asset acquisition in Q3 '25. And that business was expected to reach breakeven by 2026. And then ramp up meaningfully thereafter as advanced recycling contracts start to take effect. As Laurent mentioned, Green Dot is already engaged with 19 announced advanced recycling projects in Europe, representing the most developed pipeline in Europe, and this project underpin incremental EBITDA of circa by EUR 20 million by 2030 for Green Dot, Italy. Altogether, we see Green Dot is scaling to around EUR 600 million of revenues and EUR 50 million of EBITDA by 2030. This excludes contributions from Triplast, which is Green Dot's equity accounted joint venture in Austria, which is profitable and expanding. So to sum up Green Dot is profitable today, has a clear path to EUR 50 million of EBITDA by 2030, and it gives Agilyx unique access to Europe's deepest pipeline of advanced recycling contracts. Moving to the next slide, we can review the structure of our Green Dot investment. So Agilyx is acquiring a 44.2% stake in Green Dot for a total consideration of EUR 52 million, which includes EUR 32 million in Agilyx shares, which will be issued at the -- NOK 25.76 million per share, EUR 13 million in cash for ordinary share purchases and EUR 7 million in cash contributed as part of the EUR 27.5 million primary capital raise at Green Dot. That one will be led by Pioneer Point Partners, it's a leading European Sustainable infrastructure private equity firm. This new capital will fund Green Dot's facility expansion and the M&A transaction in Italy to deliver on Green Dot's pipeline of advanced recycling contracts. Importantly, Green Dot growth plan is fully funded with this raise. From a valuation standpoint, the German operations were acquired at 8.8x 2025 EBITDA, which is a discount to peers, which are trading at 10 to 12x. And the Italian and Austrian businesses were acquired at their book value, which we see as highly attractive given their growth potential. Adjusting for EUR 80 million of net debt, enterprise value of EUR 197 million implies a stand-alone ARR of 30% before any synergies or multiple expansion. So to summarize, we believe this is a very compelling entry valuation into Europe's leading recycling platform, fully funded for growth and expected to generate compelling returns for Agilyx shareholders.
Ranjeet Gill Bhatia: Thank you, Bertrand. So just an update on the transaction status. Agilyx's AGM will be scheduled likely for mid-September. We expect to obtain shareholder approval for a transaction at that point. We do have voting proxies supporting the transaction already secured. So we have a high level of confidence in shareholder approval. The only remaining precondition to closing is receipt of regulatory approval. The German and Austrian foreign direct applications were filed in August, and Austria replied with consent on August 18. So -- and we expect a reply from the German regulator by late September. We did announce on July 17, the loan financing facility, which fully funds the closing of the Green Dot transaction. The facility is a EUR 20 million unsecured subordinated loan interest accrues and is capitalized so there's no cash impact on the business. Maturity date is 6 months after the bond repayment. Our outstanding bonds repayment dates so May 2028. We expect to close on the transaction immediately following receipt of the regulatory approval from Germany. Again, that's likely late September. At that time, we'll issue -- per Bertrand's comments we'll issue EUR 32 million of Agilyx shares to the Green Dot shareholders. We'll draw on the loan financing and we will pay the cash consideration and Green Dot close on a $27.5 million financing round. I just want to -- I'd like to emphasize that the governance of the business is balanced with the new Green Dot board, comprising Agilyx, Pioneer Point and Circular Resources alongside Laurent as the Chief Executive of Green Dot. And we have been meeting regularly as a group and individually over the last -- in this pre-closing period, we're very pleased with the high level of collaboration, the alignment of the parties and we're looking forward to working closely together over the coming years. Switching gears to the current business. With regards to Cyclyx, we remain very excited about its direction. Certainly, there have been delays and adjustments as the capitalization of Cyclyx at the time of the CCC1 FID in late 2023. The company has made significant changes at system design process, management and personnel even geographic location, but it's very well positioned at this point to achieve its objectives. Exxon and Lyondell have been excellent partners at Cyclyx and have really made significant contributions to the business' prospects. As we announced in July, the scope of the CCC1, the first facility in Houston has been refined following design optimizations and process changes, the initial advanced recycling output is expected to be approximately 50,000 tonnes per annum, around 50% lower than the original plan at the FID. So this represents Phase I of the facility, which has been designed with space and infrastructure for modular additions of processing lines and allows for potentially to subsequently increase capacity. Mechanical completion of this first phase, as we've mentioned before, is targeted for the end of 2025. With regard to the second facility, CCC2 in Dallas, Fortworth, it remains in the engineering phase. It's incorporating lessons from CCC1s design. We expect CCC2 to remain on schedule for completion by the end of '26 and within budget. Both facilities, as you know, are well supported by a long-term offtake commitments from ExxonMobil and LyondellBasell. Relative to Styrenyx, we have been -- as we previously communicated, our shift of emphasis to waste plastic feedstock sourcing is really a defining strategic priority of ours. But at the same time, we do continue to commercialize our polystyrene conversion technology platform suite of IP. We're very pleased that Toyo styrene is independently operating the Styrenyx facility in Chiba, Japan at this point. In H1, we formally completed project handover, and we have recently entered into a customer support contract to assist Toyo with ongoing technical and operating support. The facility is being run on a campaign basis as Toyo increases its operational intensity and test a variety of feedstock sources. We expect that facility to run with increasing frequency over the coming months. Very happy with the performance there to date. As I think we all know, the macroeconomic environment for -- within the petrochem market is certainly impacting large-scale budgets for CapEx and allocations to new facilities, which has caused no doubt a delay in commercial rollout of Styrenyx over the last periods. But we're optimistic about its position in the market. It's truly unique in terms of being the only really viable depolymerization technology for polystyrene in the market, and we continue to get very high-level engagement from industry partners. We do continue to see very significant interest from major styrene manufacturers who want to execute offtake agreements for supply of recycled styrene. In the context of the overall market landscape, we are exploring creative ways to bring smaller facilities online, which decreases the capital intensity of the projects for our customers. Again, we're licensing so we're not owning or building these facilities, but it does help our customers with financing. Our involvement in Green Dot, I just would like to add is certainly adds value to the project economics in the form of access to low-cost and reliable waste product styrene feedstock for -- within the European Union, in particular. And lastly, on Styrenyx, further supporting the business case is the recent and we've just announced a formal confirmation from Sphera that the Styrenyx technology decreases carbon intensity of styrene manufacturing by over 85% versus virgin production. So that -- our perspective offtake customers place a high value on low carbon manufacturing and the magnitude of the decreased carbon intensity certainly supports a meaningful premium in our pricing discussions, and that's been certainly very helpful. On that note, I'd like to turn it back to Bertrand for him to summarize H1 trading and financing and the financial reports.
Bertrand Laroche: Thank you, Ranjeet. Reported even reporting revenues over the first half was $0.4 million, broadly stable from last year as we remain in the build-out phase before Cyclyx security centers begin operation. Total operating expenses declined from $6.8 million last year to $5.7 million reflecting tighter cost control despite additional professional and legal fees to perform due diligence and structure the Green Dot investment. As a result of cost control, our operating loss narrowed to $5.3 million versus $6.3 million in the first half of 2024. Net financial items were negative $6.4 million, including Agilyx share of Cyclyx losses for $6.2 million, together with $2.9 million of net interest expense. And partly offset by $2.6 million fair value gain on warrants. Total comprehensive loss was $11.9 million, broadly in line with last year. And on liquidity, our position has strengthened significantly. As of June 30, Agilyx has $10.7 million in unrestricted cash with $4 million in restricted cash earmarked for CCC2 funding compared to just $1.7 million a year ago. Operating cash outflows were $3.9 million over the first half, an improvement from last year at $6.7 million, underscoring our improved cost discipline. So in summary, operating losses and cash burns are narrowing and we have a solid liquidity position in place to fund our investment in Cyclyx second facility and our Green Dot acquisition.
Ranjeet Gill Bhatia: Thank you, Bertrand. So just in conclusion, we are -- before we enter Q&A, we are very pleased with the foundations in place halfway through the '25 fiscal year while we recognize the industry is in a challenging macro cycle, certainly, the commercial and regulatory pressure to address the issue of waste plastic continues and presents an exceptional opportunity to build a really long-term, sustainable and profitable business. We are increasingly technology agnostic and well positioned to benefit from the long-term growth of the recycling industry. Our strategic ownership in Green Dot is a really major milestone in our development. In Europe, Green Dot today controls circa 400,000 tonnes of plastic waste and the German market alone has close to 100,000 customers. In the U.S., Cyclyx has offtake commitments for over 200,000 tonnes of advanced recycling feedstock and interest and offtake from an expanding list of prospective partners. We believe this foundation places Agilyx on a trajectory for significant profits in 2030. Of course, we'll get there an incremental over the next few years. But Agilyx -- Green Dot is generating a healthy EBITDA already in 2025, as Bertrand has summarized and the growth in its core business plus contribution from supply of advanced recycling feedstock should generate over USD 50 million of EBITDA in 2030. And assuming Agilyx holds at 44% of that -- of the company contributed about USD 24 million in income to Agilyx. And despite initial delays at Cyclyx, the fundamentals of the business opportunity there are unchanged and either in collaboration with existing members of Cyclyx and/or additional companies seeking feedstock supply. Agilyx anticipates 5 circularity centers in operation by 2030, and then our 50% ownership share has the potential to generate circa USD 60-plus million of income to Agilyx. So this long-term potential in view, our focus is daily execution and focusing on near-term steps that are required to get there. Over the next 12 months, we will focus on maintaining cost discipline at Agilyx, which we've been doing now for the last couple of years very carefully. We will be working with Laurent to expand the Green Dot's, recycling volumes and EBITDA in Germany, while achieving breakeven in its Italian operations and expanding its EU advanced recycling feedstock business. And Cyclyx, they will be focusing on advancing C1 in Houston to commissioning and completion of C2 in Dallas, and we'll support that as much as we can. And we'll continue to work to identify strong or strategic partnerships really to monetize our Styrenyx technology. And lastly, and I think importantly, we expect to achieve a dual listing in the U.S. on stock exchange to broaden our shareholder base and enhance liquidity that's something that we really prioritize in the first half of 2026 after we complete our 2025 audit activities. So that concludes our comments for today, and we'd be happy to answer any questions you may have. But we want to thank you for your time and joining the call today.
Ranjeet Gill Bhatia: Adam, you want to go ahead.
Unidentified Analyst: Very good half of progress. Congratulations. On Green Dot, the smaller Italian business at the moment, I'm seeing is making a loss of the gross profit line. Is that really just scale? And will that get fixed by the new investment that's coming in with Pioneer. And then beyond that, you're in Germany, Italy, Austria, do you have any ambition to expand beyond those borders. It looks like the growth you're signaling to 2030 is really new sites within those territories. But I wonder if there's reasons for not going into others or if that's part of the plan.
Ranjeet Gill Bhatia: Laurent, do you want to pick that up on relative to the plans to get to the changes. It's an extra -- Green Dot Italy coming and some of the expansion plans.
Laurent Auguste: Sure. You have to see this Italian business as a business that has been actually investing already a few years ago namely in supply of feedstock for advanced recycling. This business start to come to maturity now. And so this is an important element of issue to turnaround of that business. We've mentioned also expansion in the mechanical recycling part. So we hope to be able to announce pretty soon also an acquisition there that should have a major contribution. As also this Italian business has been working very closely with this mechanical recycling business to supply high-quality feedstock, which support at the end of the day, the supply of high- quality recycled plastics so yes, we're fairly confident about the turnaround. And yes, the investment that is coming now is absolutely sufficient to secure this.
Unidentified Analyst: Just further the geographic question, would you look beyond your existing territories?
Laurent Auguste: So we are definitely having a look at potential beyond the 3 countries where we are. This will be also driven by the evolution of our business in the advanced recycling part of the business. Very often, this is also located towards the northern part of Europe, at least the Benelux. So we're definitely having a look there. There's also on the EPR business, a number of opportunities because a number of countries are coming to this model and evolution of regulation. In Europe, namely under what we call the PPWR, The Packaging and Packaging Waste Regulation brings some new opportunities. So yes, there might be opportunity for us to start stepping into some of the countries in Europe.
Unidentified Analyst: Yes. I have a question related to the service agreement that you have gotten with Toyo Styrene. I was wondering if you could provide some more flavor on that one? Like what should we expect in terms of revenues, for instance?
Ranjeet Gill Bhatia: Bertrand, would you like to take that?
Bertrand Laroche: I think it will depend on how much the facility is running, how much people do they mean, I think at the outset like we expect around 0.5 million per year, but those numbers could grow depending on the involvement that Toyo Styrene wants us...
Ranjeet Gill Bhatia: I don't see any other questions. There's a question on text. Are you able to read that -- on that.
Ana Sandersen: Yes. Can you provide an update on how Agilyx is approaching trading window. This is related to the options program that we have.
Ranjeet Gill Bhatia: Yes. We do have options outstanding as we're fully disclosed in our annual reports, and we are focused on maintaining and abiding by our option plan requirements. And to the extent that the Board feels it's appropriate to open up windows, we will. But we don't have any advanced expectations or timing to propose today. I don't see any other questions.
Ana Sandersen: No, I don't notice any either. Shall we say thank you for today. And just remind everybody that replay of this meeting is available on our website as will be the presentation. Thank you, everyone, for joining us.
Ranjeet Gill Bhatia: Thank you.
Laurent Auguste: Thank you.
Bertrand Laroche: Thank you.